Kevin Brophy: - Director, IR Nicholas DeBenedictis - Chairman, President and CEO David P. Smeltzer - CFO
Analysts: Heike Doerr - Janney Montgomery Scott Ryan Connors - Boenning & Scattergood Francesca McCann - Stanford Financial Timothy Winters - Smith Moore Jonathan Reader - Wachovia Richard Alderman - Merrill Lynch
Operator: Good day and welcome to the Aqua America First Quarter 2008 Earnings Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to your moderator for today, Mr. Kevin Brophy, Director of Investor Relations. Please go ahead, sir.
Kevin Brophy - Director, Investor Relations: Thank you, Anthony. Good morning, everyone, and welcome to Aqua America's first quarter 2008 earnings conference call. If you did not receive a copy of the press release, you can find it by visiting the Investor Relations section of our website at www.aquaamerica.com. There is also a live webcast of this event available on the site. Presenting today is Nicholas DeBenedictis, Chairman and President of Aqua America along with David Smeltzer, the company's Chief Financial Officer. As a reminder, some of the matters discussed during this call may include forward-looking statements that involve risks, uncertainties and other factors that may cause the actual results to be materially different from any future results expressed or implied by such forward-looking statements. Please refer to our most recent 10-Q, 10-K and other SEC filings for a description of such risks and uncertainties. During the course of this call, reference may be made to certain non-GAAP financial measures. Reconciliation of these non-GAAP to GAAP financial measures are posted in the Investor Relations section of the company's website. At this time, I would like to turn the call over to Nick for his formal remarks, after which we will open up the call for questions.
Nicholas DeBenedictis - Chairman, President and Chief Executive Officer: Thank you, Kevin and good morning everyone. Aqua's first quarter '08 results were characterized chiefly by slowing in revenue growth totaling 1.4%, rising from 137 to 139 million and that adversely affected net income generation which was 14.3 versus 16.9 in ’07. Our revenues were affected by reduced consumption somewhat due to a wet March, but chiefly due to the national economy and regulatory lag, which I will explain in much more detail as we go ahead. Regulatory lag, for those of you who are not following the industry for a while, it's a technical term that we use that say the need to carry major capital investments and rising costs while you are waiting for rate relief from the state regulatory bodies. That’s a big part of our issue right now. Although normally, utility results are somewhat resistant to economic slowdown, when you think of the three areas that are significantly affecting the U.S. economy today and that is on the TV every night, reduced housing starts, high fuel costs and foreclosures. Those are three areas of an economy that all have a direct negative effect on utilities and unfortunately had a negative effect on our first quarter ’08 versus’ 07 comparisons. We also witnessed the larger reduction usage in 1Q in the industrial and commercial segments, which I think probably lends prudence to the fact that there is an overall economic slowdown in the U.S. To put that in perspective, industrial and commercial is about 18% of our revenue stream and although oil consumption was down, the commercial and industrial was down to a factor of may be 5, 6% whereas most consumption was down overall 1.5%, blended about 1.7. So let me put some numbers around the – how we did get to the 1.4% increase. First of all, reduced housing starts hurt us in our revenue growth and customer growth. Housing starts have now slowed below 1% from the more recent normal trend of 1.5 to 2. [ph] Peak year ’05, we were growing excess of 2% just from natural growth. That dropped little over 1.5, then a little over 1.1, 1.2 last year and this year, it’s running slightly below 1%. Now the only way, we can make that up in our growth patterns is through acquisitions and we did announce an acquisition in Florida yesterday and we have about 15 to 20 prospects in ‘08 in the pipeline. And if successful, I think we could grow that to 2 to 3% on acquisition side and hopefully have a housing turnaround which will get us close to our normal goal. We are looking at more larger ones this year than the number – we always used to do 25 to 30 but a lot of them were small. We are really concentrating now much more on the larger ones. The other factors that I mentioned, fuel costs, they are up 50% year-over-year. I am sure I don’t have to tell anybody. They know that from their own gas pump. And the only difference between your usage and ours is we drive 23 million miles a year. So, you can see that’s a significant inflationary factor in a core estimate of 2.5% growth in O&M that we work-off of. So – and housing foreclosures have an interesting impact on us, it’s not the foreclosure that costs us money, but as soon as somebody lease the house, it creates the risk that you may not be able to collect the final utility bill and of course if the house stays vacant for a while, you wont be selling water to that home. So, it’s a dual effect. I don’t want to overstate this because foreclosures in most of our states are still well below 1%. But it is an issue that made us increases our bad debt reserve. Now we may still collect the money, but to be cautious, we increased our bad debt reserve up to 1% of revenue which we are going to project for this year and that’s up from about 0.8%. Now most utilities wouldn’t be upset about 1% bad debt reserve, but we’ve always enjoyed in the 0.6, 0.7, 0.8 range. So that did hit O&M this year, this first quarter and hopefully we’ll get it corrected towards the – as we proceed through the year. To dissect the revenue to say how we came up with the – actually it’s 1.44, so it’s somewhere between 1.4 and 1.5 growth. Rates and surcharges awarded over the past 12 months were roughly 1.5%. Revenue growth over the past 12 months was an excess of – excuse me, from acquisitions and organic was well over 2%, but then we had to adjust for the loss of revenues from some facilities we’ve been disposing off, the key one in the first quarter being Fort Wayne and that has basically made the year-over-year growth to about 1.5%. And therefore, consumption decreased from the slowing economy and weather about 1.5%. That’s how we netted out the [ph] 1.4 and 1.5. Now while we wait for the economy to turn around, quarter-to-quarter revenue comparison will be under pressure until rate awards are achieved in Q3 and Q4 and coincidentally Q3, Q4 of ‘07 was when we really saw the dramatic drop in housing starts and that’s also when we started to see an increase in bad debt reserves that we were starting to take. So, I think the comparisons, as we get later this year on the expense side and on the growth side, will be more [ph] tolerable but the economy was still humming in the first two quarters of ‘07. So, these quarters are going to have rough comparisons. The loss of Fort Wayne customers will also affect us all year long, of course, until a washout of the – in the ‘09 numbers. And that’s somewhere between 1% – 0.5% and 1% for your projections. However, the transition is going smoothly. We’ve cut costs. We’ve reduced work force and it has not affected the rate proceeding which we are in [ph] and I’ll get into later which is for the two-thirds of the system that we retained. We retained the key wastewater facilities that we owned which – and in the faster growing section of the suburbs of Fort Wayne, but we were condemned in the area of – in the city of Fort Wayne. And we did, as I mentioned in the release and we mentioned in our Q, we were paid for it obviously, but we don’t think we were paid enough and we are challenging it in court and that won’t be decided for a while. We also expect as part of our training policy that we announced last quarter, the voluntary sales of at least one other franchise in our northern division for about $10 million and that will occur later this year in the Q3 or Q4. Now Aqua has 17 current rate cases, 65 million of request now in various stages of the regulatory process. However, I don’t – I can’t predict when the awards will be made but we believe most will be made late in the third quarter or possibly in the fourth quarter. So, logically, then these awards should positively affect revenue comparisons for the next 12 months, and therefore, when we get the award, there will be a positive comparison revenue wise over the next 12 months of that rate cycle. The most significant cases are Pennsylvania, 42 million, to be decided we believe in August; New Jersey, 7 million, to be decided in September; Illinois five cases – excuse me, 4.1 million to be decided in December; you can see most of these were late; Missouri, 1.2 million in September; Florida – Sarasota, Florida, a separate division of Florida, 2.2 million in October; Ohio, 3.2 million, we will hopefully get it this summer; New York, we have five small cases that were emerging as one, so we have a consolidated rate and that’s 0.3 million; and in Indiana, the – two cases, one in Hendricks, one in the rest of Fort Wayne, 5.6 million, and that probably won't be decided until January of ‘09. Now over the next month, we will be filing comprehensive statewide cases in Florida and North Carolina, and this will mark the end of an era. During 2003, 2004, we made three separate purchases from electric utilities, who are exiting the water space after a failed attempt. And we purchased over a 150 systems from these companies and we paid 265 million which was clearly a good investment for us, because it was at rate base. We didn’t have to pay any premium on these properties and that’s the secret of buying in the water or any utility business. Now if you look at our normal growth pattern of 3, 4% a year, sometimes 5%, depending on the housing growth and so on, if you look at three, four, those two years, we grew 40%, and I’d say that’s almost five times the normal growth rate. So, there was some digestion period, which we said when we bought these. However, I don’t think we predicted, no one predicted how long it would take get these facilities managed, fixed and so on. So, over the past five years, we have completely rebuilt the management structures. So, we paid [ph] 200 management structure. We’ve invested over 230 million to fix environmental issues and provide capacity at the wastewater and water treatment plants, so we can provide for future growth. And we’ve invested millions of dollars in accounting and customer information systems to bring these operations to our expected standards. So, we basically have invested over the past five years as much as we paid. So, the good news is, it’s done. Second good piece of good news is that it’s all at rate base and there's shouldn’t be a challenge on earning on that rate base. The negative is that it took us five years to get to the position where we could file because you had to fix the customer systems, you had to fix the management and you had to fix the capital and environmental before you could ask regulators to approve any kind of rate increase. And the fact of the matter is the original investment of 265 that wasn’t earning its fair return at the time. So obviously, this means you have to catch up on the original huge amount almost doubling of the rate base over the time period that you are now asking for your first rate case and that’s been part of our dilemma. The rate case request had been very, very large, sometime in excess of 100%. The regulators have been very fair and good example would be Monticello where – in Virginia, where we invested $10 million and got over 100% rate relief in Brookwood and LaGrange which earlier this year in February we were awarded a 70% increase. So, these are very large increases. And the good news is now that we get on a more normal cycle of the one – two to three year rate relief cycle, these rate requests – and I don’t know how much capital we’ve to put in and how much inflation hits us, should be in much more reasonable ranges that we are used to in the more mature areas where we file in the Pennsylvania, Mid-Atlantic and the North. So, the filing of the North Carolina and Florida cases over the next couple of months will represent the next step of this process and now we are going to request fair returns on all of these investments because of the improved customer service that we have absolutely provided. So, if we can get this initial process behind us that assimilate all the Aqua sources in southern properties and creating – and that’s basically, this doubling of rate base has really created the bulk of the regulatory lag which has hurt our revenue stream and our net income over this past year. Expense growth; this is one area that was of concern but it was – its now back to normal levels. If [ph] there are a number of years are very significant O&M, local tax, depreciation and interest cost increases and those were all due to basically a 60% growth in our customer base over a five-year period and so almost three times the normal growth rate and the fact that we did start experience some inflationary pressures on the commodities during that time period. So, very happy to see that our O&M is back to more normalized level of last year if you recall is up in the double digits 15, 16%. So, I would like to take two seconds and analyze our O&M which is up 6.6%. But if you take, if you dissect that, over half of this increase is due to some non-cash accounting adjustments required when you went for a rate case, the regulators sometimes had things adjusted, it’s not cash, but you have to adjust the rate base and so on. Dave can explain where they were. And the other is the fact that when you have new growth of 2.6% last year, you need to have some O&M increase to cover the new growth. When we look at that, that’s about half of the 6.6, actually a little more than half, the remaining 3.2% was adversely affected both by the bad debt reserve increase, which we discussed earlier, and of course the fuel cost. If you take those biases out, the run rate was about 2.5% which we are very happy with. Depreciation is another factor which is really – is again non-cash expense component of the regulatory lag, but it has really risen very rapidly over the past three years because of both our acquisition increases and also the fact that we are putting so much new capital into the systems and a lot of that new capital wasn’t the 100-year long lived assets we usually install, a lot of it was meters and computer systems which have very short life, i.e. increasing the depreciation rate. So, the – we are now at a run rate of 250 billion a year in investment – excuse me, 250 million a year, and that’s almost double what we were spending before the ‘02. And the depreciation this quarter dropped to I think around 7%, almost half of what it’s been on an average over the past three years, 15%. We anticipate that will rise in the second half of this year only because a lot of our closings for the rate cases occur in June and that will add to depreciation when you close the asset. On the other hand, we don’t anticipate year-over-year as being much more than 10%. So therefore, it’s about two-thirds of where our run rate has been and we think it will stay in that range going forward based on how much capital we are investing over our existing rate base. So, we’ll continue to invest at a very healthy pace, depreciation and therefore cash generation will grow at a very healthy pace and by getting it in rates more rapidly, not waiting five years, we should avoid any negative affect on earnings. The other major issue that we experienced over the last couple of years again due to run up in the vast expansion of our assets and also with the rapid growth we incurred was interest. This year, you will see interest expense quarter-to-quarter is only up about 4%, 3 to – between 3 and 4% versus – excuse me, 14% all of ‘07. Now this is real good news, because the result is that we are borrowing less as our internal cash generation has increased and we’ve also been able to lower our borrowing costs, which I have noted in the press release. We continually refinance. We continually borrow at lower rates than our embedded cost of debt and I think our treasury department deserves a lot of credit on that. So, we lowered our embedded cost of debt – long-term debt to 5.6% and that -- most of that is long term 20, 30 years. So, we are in great shape long term, if you think 5.6% is a good carrying cost. And this year it looks like we’ll be borrowing much less than last year maybe a 100 million approximately and we will refinance about another 5 million in old debt at rates that are 9.5%. So clearly, we are going to show some gain on that. And we anticipate increases in our interest expenses, but probably remain in the 5% range or little less going forward. So that has stabilized now also. As I noted, our first quarter run rate was about 60 million in capital spend. We anticipate exceeding probably the 250 million in capital investment that we talk about on an annual basis due to the tax implications which I will talk to you about, but we think the 250 in capitals is very sustainable once we get these current rate cases decided and we start seeing the resulting increase in EBITDA. And the EBITDA has been growing about 10% CAGR over the last five years. So, that’s been a very healthy part of our story over this growth and the investment period. And the key is getting the new investment into rates collecting on your depreciation, collecting on your investment return and getting surcharges which absolutely help, so that you don’t have the same regulatory lag, we had with the major investments we made in the south over the past five years. But I guess the good news is that our future capital is absolutely proactive versus reactive which it has been over the past couple of years. We were under the consent decrees of environmental agencies and the commissions were very concerned that AquaSource and some of the other companies had not done what they should have done for customer service and i.e., meters, computer systems and also environmental. And we believe we’ve now addressed all the major current environmental requirements that face the entire company and to put that in perspective, in the past five years, we spent almost $0.5 billion to make sure we meet all the current and what we are projecting is future environmental requirements. So, we have flexibility now to make sure capital is timed around regulatory – planned regulatory actions. So, we don’t have the – build it first before you are even allowed to go in for a – for rate relief. We also have some room in what we are doing now so that we can take advantage of the tax benefits of the new Economic Stimulus Act of 2008, and we can talk a little bit about that but we think we might be able to generate as much as 20 to 30 million in increased cash that we can use obviously for our program rather than borrowing or floating new stock, in order to support our capital program under this new tax law. The other issue is we don’t see the need right now for any levels of new equity infusion that we’ve experienced in the past, not just long ago, probably three or four years ago. We were issuing almost 5% additional stock annually that dropped to 2 to 3% range over the last year or two and we are projecting 1% dilution range which happened in the first quarter to be our new run rate going forward. So that’s good news for our existing shareholders and that we are not diluting them as much in order to support all this new growth. So, I think looking back, yeah, I wish we could have done better and [ph] gotten in sooner in the sense of rates and didn’t have some missteps like we had with a couple of the state regulatory agencies. But I think we are now in a good position. Hopefully, we are successful in these rate cases. We will time our capital going forward. We have a great financial foundation and cash generation potential to support our future needs in this business. It's still a good business. It's still a secure business and we are comfortable that the economy will return. And at that point, we’ll start seeing a little bit more internal growth and that will help with our customer growth strategy going forward. But I think five years from now, we are going to look back and say the fact that all those investment, almost $0.5 billion is at rate base. And that those properties will probably be growing faster than our existing properties, therefore giving more support to the company. We will probably say that was a good investment, even know we have to live through these couple of years. And as you know on the utility business, it’s really a long-term business. So, the company 100 years from now with the most earning assets wins in the long run and that’s what we’ve been trying to do by our growth strategy. So, I’ll open it up for questions. Question and Answer
Operator: [Operator Instructions].
Nicholas DeBenedictis - Chairman, President and Chief Executive Officer: Brop, we’re ready to accept questions.
Operator: We’ll take our first question from Heike Doerr at Janney Montgomery Scott
Heike Doerr - Janney Montgomery Scott: Good morning, everyone.
Nicholas DeBenedictis - Chairman, President and Chief Executive Officer: Good morning, Heike.
Heike Doerr - Janney Montgomery Scott: I wanted to follow-up on the efficiency ratio. Nick, you used to speak historically on how many basis points of improvements you expected to see in a given year? We’ve now reached on a rolling average, it’s about 42.5%. I realized that some of this is the revenue weakness. But can you talk to maybe, when do you think we’ll see this come back down? I know we used to talk in reference of being below 40%.
Nicholas DeBenedictis - Chairman, President and Chief Executive Officer: Well, part of the concern this quarter, the reason it went to 42% was these, almost half of the expenses that were charged, I would call, Dave can add, in my last call one-time. They were regulatory true ups and things of that sort. The other is the fact that, the regulatory lag, if you take a look at any reasonable percentage of that $65 million and put that into your base. I think you’ll see that O&M with a revenue ratio come down pretty rapidly. So, yeah, I’m disappointed Heike, I wish it was lower but it’s something we’re going to… we still track it, so I hope you still track it, but I think if you correct for those two, it was probably flat year-over-year.
Heike Doerr - Janney Montgomery Scott: And as we look at the efficiency ratio comparison of the north versus south and the catch-up that the south has seen since you got some of these efficiencies taken care off and the operating structure is little better. Can you maybe talk about what we’ve seen there in the south?
Nicholas DeBenedictis - Chairman, President and Chief Executive Officer: I know that south is the whole region, our ratio is up. Pennsylvania keeps, and New Jersey keeps getting better. The north is pretty stable, north to south, but rather than going down in efficiency it’s going up for two reasons. We’ve basically had to put new people all over the place to get the thing running and it’s now stabilized, and our new President there, Chris Franklin has got all kinds of statistics and benchmarking and so on. And, but… I mean to be very honest with you, AquaSource had $12 an hour people, they weren’t getting the job done, they were reading meters from their car, therefore, the meter readings weren’t right, and we just had to redo everything in the whole company. That’s done now, we have professionals in place, trained operators at the plants and things of that sort and that was the cost. But the fact that we’ve had five years in some cases of inflation plus the new cost we’ve added without getting any return i.e., regulatory lag has actually, the O&M, the revenue ratio in the south has actually deteriorated over the five years, not increased, that will turn around now that we’ve stabilized the operations. We now have RF in, in most of the states and we’ll have better collection practices. And also the fact that most of these rate increases, the huge percentage increases at least are coming in south. So, I think we’ll start seeing this steady trend down now on the south but that’s what hurt us. We can divide out and we’ll get back to you as to what the O&M to revenue ratio is in each of the states. You’ll get a feel for that.
Heike Doerr - Janney Montgomery Scott: Okay, great. And as we look at Florida, I know that we’ve had some hiccups there, the regulatory environment has really changed with the new two commissioners, its little more pro-consumer than it had been, we haven’t seen any new rates. Can you maybe talk about the synergies you see and the logic behind the acquisition that got announced yesterday?
Nicholas DeBenedictis - Chairman, President and Chief Executive Officer: Oh, sure, sure. Look, five years from now, 10 years from now, when you look around, we’re going to be in either the 10 biggest states and two of those are Florida and Texas, and North Carolina. And although they are not performing financially the way we’d like them now, and we have huge rate increase request [ph] before them, we will be the largest water utility in each of those three states and I think it’s a wise investment. So, we’re not abandoning Florida, we think it’s a good state and I think we had… you are being kind, a hiccup, last year when we had to refund the interim increase and so on. We’ve now completed all the requirements of that case, we’re holding our last set hearings, we’ve gone around the state, have public meetings, some of the commissioners attend those. They have been very productive. We learnt a lot, I think there is a lot better when you have a meeting without a rate case in front of the people. They will tell you what they would like to see in service and going and things of that sort. And I think we’re ready now for an approach towards the consolidated case required, so that we can grow in that state effectively. And I think the regulator want a strong company because there is a lot of systems in Florida that are… I won’t call them orphans but they are a lot of very small like home owner association system, things of that sort that are between the big cities that are usually municipal.
Heike Doerr - Janney Montgomery Scott: Okay. And as a final question, you had mentioned previously that instead of this 25 to 30 small tuck-in acquisitions that you’ve been looking at larger systems. And as we look at the growth available in the South but the quicker recovery in the North, can you may be talk about where you’re seeing the larger acquisitions coming from?
Nicholas DeBenedictis - Chairman, President and Chief Executive Officer: Well we’re starting to see cities much more willing to talk about whereas three year ago they want possible acquisitions other than just which will run our system. They have concession like Ohio [ph] does. We had a bit… now these are much tougher than public sit behind close doors or what you do with a private company and then nobody knows about it and then you go out announce that these are very opens. So there is lot bidding and things of that sort. But we’ve a couple that we’ve been involved with. One, we were the high bidder and it looks like this is on it’s way, but there they decided to postpone it and of course there’s an election coming up. In November there’s an always an election and so probably we’d get reinstituted after that. So you we can’t time them as well, but we decided rather than worry about timing… is whether it’s 4% over three years or 4,4,4, [ph] I don’t think it really matters in the regulatory process because it’s a pretty long life business and also the fact that the regulatory cycle, reg cycle is probably two or three years any how. So we made the clear direction when we head our internal management retreat that we should spend more time on larger systems than lot of small ones and probably we’ll drop the numbers for real [ph] telling you that we are going to do 25 to 30 probably get the 15 maybe, 20 range but spend more time on. That means you might not get on, you might if its only a 15 at pause probably has the bigger impact on the number. But we still think that’s the right way to go along more forward.
Heike Doerr - Janney Montgomery Scott: And for a city do you need… does that get on a public referendum or do you need the public approval or how does that work?
Nicholas DeBenedictis - Chairman, President and Chief Executive Officer: The city often times they ask but very seldom that they do an actual voting of referendum. Probably they do it in California. But most of the time it’s a vote of the City Council or the authority Council which means its publicly noted and its onus very, very public.
Heike Doerr - Janney Montgomery Scott: Okay, so you wont see them before anything is finalized? Is that right?
Nicholas DeBenedictis - Chairman, President and Chief Executive Officer: Sure.
Heike Doerr - Janney Montgomery Scott: Okay. Thanks I’ll stop monopolizing your time now and I hop back in queue.
Nicholas DeBenedictis - Chairman, President and Chief Executive Officer: Thank you.
Operator: [Operator Instructions]. We will go next to Ryan Connors at Boenning & Scattergood.
Ryan Connors - Boenning & Scattergood: Good morning.
Nicholas DeBenedictis - Chairman, President and Chief Executive Officer: Good morning Ryan.
Ryan Connors - Boenning & Scattergood: Kerry, I kind of want to step out under the trees and have a look at the forest here. I kind of have a big picture type question for you I just kind of want take just a moment here to frame it. One of the big major aspects of the investment case for lot of utilizes as always been that. Although, you and your peers for that matter may not grow as rapidly as other sectors of the economy, the growth that you do generate historically has been very, very consistent. And so that consistency that relatively low risk profile if you will… in my view has always been a big part of what draws investor to the sector and what draws them to Aqua America in particular kind of as a bell-weather company in the space. And I think as a big part of why a big driver behind the premium valuations that you traded at the last few year. So, right now given that we are with these Q1 results were sort of in years three flat or and/or declining earnings. I think the evidence suggested to many peoples that assumption of consistent earnings growth may not be accurate after all. And I think with the market is struggling right now a little bit. What the risk profile on the business really is in terms of the volatility of earnings growth. So…
Nicholas DeBenedictis - Chairman, President and Chief Executive Officer: I’m ready to take a shot with that.
Ryan Connors - Boenning & Scattergood: I want to get your reaction to that and just what you would say to an investor who says, hey, I… at that level of risk I can get better growth elsewhere, if the growth isn’t going to be consistent.
Nicholas DeBenedictis - Chairman, President and Chief Executive Officer: Right. Well, first of all the premium valuation has been lessened over the past two years. So the reaction to the market has been exactly what you’re saying versus what it was two years ago when the rapid growth in the… all these three to four acquisitions that 200 or so systems we brought in a very rapid time period. If I had my brothers, I would have liked to stretch them out over five years. It would have then seeing exactly what you’re asking for. The problem was AquaSource was for sale, it was a good deal. We bought it at a good value and we couldn’t just buy a [fit ] at a time the, we had to buy it all at once, the same thing with Florida Water, the same thing here. So, I guess, if you want to look a consistent growth over a long time period, I think we’ll still be able to deliver it. Like as we did until we got into this rapid run up of 60% over last three to four years with so many small systems. But, so I’m still confident the investor model is there, especially with the fact that we’ve been able to strengthen our financials. If you look at our cash generation we’re doing now in a lot of our expenses, a lot of our EPS is going through depreciation. So this is not the end of the world. I mean, if you’re looking at on a EBITDA basis, I think another reason people buy sureties [ph] is for dividend and cash and no surprises although we’re very disappointed that we aren’t growing like we used to and we had this temporary hiatus, I think it is important to note that very seldom do we, if we don’t have the… what I’ll call the credit crunch issue in the sense that we’re having any trouble borrowing money or continuing with our model. The second is, you don’t see a quarter at least in the regulated business where there is a huge write-off. Its [inaudible], as you are going through it. So I think that risk factor is not there. And the third is, I think there is plenty of cash for the continued increase in dividend which I think is the other thing that people buy this for. So, I mean you can time utility investments and obviously it would have been meet the time of water utilities in general, three years ago. But I think that part of it, it’s been a similar, the rapid have grown up in inflation, it hurt us all. In our case, the rapid growth hurt us and some other company’s cases, it would be the change in ownership hurt them [ph] and so on, and that cause their instability. So I think we are looking at an era now where it’s going to be a little bit more like it used to be.
Ryan Connors - Boenning & Scattergood: Okay. And just as a follow-up to that, I mean I think one of the things that’s particularly troubling is that generally speaking, you are seen as a defensive investment and to be… right now it’s a little bit disconcerting. So I’m wondered is it just sort of the perfect storm you mentioned that the foreclosures and having starts [ph]?
Nicholas DeBenedictis - Chairman, President and Chief Executive Officer: I mean, when I looked at it, I said, Jesus, what’s happening? Well I looked at where the consumption was down and it was down in the industrial and I can… you can think of that you’re from this area but think of the big manufacturers, the Roman Houses and so on, and they use less water in the first quarter. So obviously, they’ve had some kind of change in their process where there has been some kind of slowdown in that manufacturing process. And the commercial, and that’s directly related to the economy. The actual consumption of the homers wasn’t down as much but it was down, and I attribute some of that to weather. I saw the California companies had bad first quarters because of weather also. But, we don’t have as much usage, if you look at how much people use water in hot areas, 150 gallons a day which is not as much as like if you look at some of the other water utilities, especially in warmer areas. They sometime use 300 gallons a day, a huge difference. So, if people really start conserving like we are doing in North Carolina right now because it restricts, that’s way down because of the drought restrictions the government put on. There is a long way to drop, now that’s the bad news. Then the other news, as you go back in and you are allowed to throw it up in your next rate case but it causes your lag. So, these are the things that normally we don’t see but we’re starting to see a little bit of conservation. I think there was some consumption difference because of the economy, but the two factors that I would say are your comment to perfect storm would be, in my lifetime, I don’t ever remember every night on TV hearing about foreclosures, and that was the bad debt. And the other is, fuel prices running up so rapidly now. Let’s hope for our economy that they are going to stabilize soon at which point all will stabilize because it will be unfortunately increased costs in our rates, but we’ll get a back. But those two factors, we drive 23 million miles a year, we can’t buck the trend.
Ryan Connors - Boenning & Scattergood: Sure. Well, I appreciate your perspective on that. Thanks, Nick.
Nicholas DeBenedictis - Chairman, President and Chief Executive Officer: Thanks.
Operator: [Operator Instructions]. We’ll go next to Francesca McCann at Stanford Financial.
Francesca McCann - Stanford Financial: Hello, there.
Nicholas DeBenedictis - Chairman, President and Chief Executive Officer: Hi, Francesca
Francesca McCann - Stanford Financial: Couple of quick questions. The first is on the acquisition landscape either for, something kind of small to medium or medium and larger size acquisitions. I guess, what you are seeing in terms of the competitive landscape or what that might mean or premiums or upper prices?
Nicholas DeBenedictis - Chairman, President and Chief Executive Officer: Well in the states where we are one of like four or five utilities like New Jersey, Pennsylvania there will be competition. Although in some cases if it’s in your, clearly in your area, it doesn’t make sense for somebody else to bid on it because they can’t produce the product as efficiently. But in general, singular franchise, yeah, there will be competition, less so in the states where there is only one company. Example, Florida and North Carolina, Texas somewhat, not as much competition is always somebody at municipal authority who might want to compete with you and so on. So, what we… the region we don’t do more is we know when to fold them, don’t want to hold them, don’t want to fold them, there is always so much ease of work. And you’re not going to make it up on volumes. So, I mean basically you have to pay what you think its worth and what you… the cost of capital is to make sure it’s accretive and that’s our screen. So that’s why we decided it’s better to get after some bigger ones and spend more time on those and hope that we are successful versus a lot of small ones which is will be else.
Francesca McCann - Stanford Financial: Okay, thank you. And then …
Nicholas DeBenedictis - Chairman, President and Chief Executive Officer: So, you stated out Francesca.
Operator: Ms. McCann your line is still open, please go ahead. And we’ll check on that line. We’ll go next to Tim Winters at Smith Moore.
Timothy Winters - Smith Moore: Good morning, Nick. Can you hear me?
Nicholas DeBenedictis - Chairman, President and Chief Executive Officer: Yes, Tim. How are you doing?
Timothy Winters - Smith Moore: Good, good. I have a couple of questions. One is on that acquisition front; you are talking about bigger acquisitions. Can you give me an example of what you’re finally referring to? Are you talking about …
Nicholas DeBenedictis - Chairman, President and Chief Executive Officer: Yeah. I’m not talking about the cities, talking about towns, municipalities, municipal authorities that are nice size, and nice size for us is 500. Manteno last year was 4300 that’s an excellent one. A couple of those years are what you need.
Timothy Winters - Smith Moore: So bigger is more of 20,000 direct customer systems.
Nicholas DeBenedictis - Chairman, President and Chief Executive Officer: Yeah, I’m not talking about trying to buy the city of Chicago.
Timothy Winters - Smith Moore: I do understand Providence or Island is for sale or at least that’s what the media reports. I mean, does that fall into your category of bigger?
Nicholas DeBenedictis - Chairman, President and Chief Executive Officer: There are so few that self-initiate, that everyone itself initiates recall just to see if it works. That would be a very big one for us. We’re not in it Rhode Island, but there’s no numbers on it yet, there’s no real clarity yet, but yes we are at least…
Timothy Winters - Smith Moore: Okay. And then as for as some of the numbers you were giving regarding rate base in Florida and North Carolina. I believe if I heard you correctly you spent, you bought them for $216 million rate base and that’s just before the North Carolina properties?
Nicholas DeBenedictis - Chairman, President and Chief Executive Officer: That’s the… yes it’s Heater… there were three purchases, AquaSource, which were in six, seven states. Heater, which was in one state North Carolina and Florida Water which was in Florida. And those three combined we bought over 2003-2004, and that’s the ones we spent 200 and I think its rate base.
Timothy Winters - Smith Moore: So rate base is roughly $500 million for those systems?
Nicholas DeBenedictis - Chairman, President and Chief Executive Officer: Dave? That’s about rate 460 today.
David P. Smeltzer - Chief Financial Officer: 460, as we speak.
Timothy Winters - Smith Moore: Okay. And then if you could ballpark, if you have an exact number, great, but if not if you could ballpark, what kind of return or income level you are earning on that 460 today and when you go to file, will you be filing for the whole system as a uniform rates in North Carolina and Florida or is it going to be a little more complex than that?
Nicholas DeBenedictis - Chairman, President and Chief Executive Officer: Well other than this counties is in Florida which self regulates, Sarasota being one of them, Citrus another, it is our intent to look at a consolidated case in both those states. There is no self regulation in North Carolina, but we did agree to move on say Estelle [ph] book with the green system separately. So other than that exception, we will look for a consolidated rate. The second is what we’re earning on that $450 million to $460 million. I’m going to guess they are less than 5%.
Timothy Winters - Smith Moore: Yeah.
Nicholas DeBenedictis - Chairman, President and Chief Executive Officer: But we can get to you exact numbers.
Timothy Winters - Smith Moore: Okay. That’s so less than 5% on the whole rate base?
Nicholas DeBenedictis - Chairman, President and Chief Executive Officer: Yeah because none of the 260 or a very little of the 235 of additional like the depreciation basically we got the cash but that’s not in any rates yet or nor on our capital, right, because we didn’t get any rates yet. Second would be the carrying costs on that a lot of twist debt, we’ve been carrying that cost from now three, four, five years in some cases and that’s deteriorated the earnings potential, plus Tim, I would argue that some of the original 265 wasn’t earning its keep. It was doing better in North Carolina than they were in Florida, Mesquita was a pretty well run company going in for rates on a routine basis, but it wasn’t earning its keep at that point and that’s going down mainly because of the all the capital we’ve added.
Timothy Winters - Smith Moore: Okay. And if you have any guesstimate those properties are they roughly 20% of total rate base?
Nicholas DeBenedictis - Chairman, President and Chief Executive Officer: Yeah I can give you that exactly. We’ll give you that exact, I think you are close, but 20% of our customer base, so I would imagine it’s about the rates applying.
David P. Smeltzer - Chief Financial Officer:
20%:
Timothy Winters - Smith Moore: And is that the only area of size that’s under earning materially?
Nicholas DeBenedictis - Chairman, President and Chief Executive Officer: Now that the north we are in for rate cases in Indiana, we have rate cases in Illinois, Ohio is earning… it’s pretty much earning its keep. New Jersey, is only earning 6% as we speak because of all the capital we’ve had to put in. New Jersey passed a “radium monitoring” bill which has forced most municipalities and all the private companies in the state to put huge amount of treatment processes on, to the treat the radium to very, very low levels, which we’ve already done, we’re meeting the standards. And now that’s in lag and that’s forced the ROE in New Jersey down with $7 million case that will pop it back up. Pennsylvania, until we get the rate case. When you are spending $150 to $200 million Tim in one state, even if it’s surcharges and everything else, towards the end of that two-year rate cycle it’s starts deteriorating. I think that pops backs and that’s a traditional utility model, and we’re into that rate cycle in Pennsylvania. And again as was Ryan was saying in the perfect storm on the economy and the nature of our stocks, this will be almost as regulatory model, this will be perfect storm that we’re facing even our strongest players who are at the end of the regulatory cycle are ready to rejuvenate it. So that’s why we’re hopeful for that we do pretty well in third and fourth quarter. So we’ve start seeing ROEs come up.
Timothy Winters - Smith Moore: Okay, final question. Are you able to make kind of adjustment to your pending request to incorporate with the economist and then slow down?
Nicholas DeBenedictis - Chairman, President and Chief Executive Officer: Hopefully. The only you can do is if your inner rate case and they are projecting growth rates at normal growth rates that are 1% and 1.5%, and you can show them the growth rate is no where near that anymore. That would increase revenue requirement and they might accept that but that would be the issue. Some states are starting to give you some allowance, they call that reconciliation clause for when usage drops precipitously and keep going there each year, each other year, I think California is looking at that year, does it now. And that will be helpful in states where consumption is much higher than norm, it won’t be as needed in our states but if you have somebody using 300 gallons a day or 400 gallons a day water versus the 100 to 150, and they drop and become normal, only 150, you can see what that does to your revenue requirement.
Timothy Winters - Smith Moore: Okay. Thanks, Nick.
Nicholas DeBenedictis - Chairman, President and Chief Executive Officer: Thanks.
Operator: And we’ll go back to Francesa McCann from Stanford.
Francesca McCann - Stanford Financial: Hello.
Nicholas DeBenedictis - Chairman, President and Chief Executive Officer: Hi [ph].
Francesca McCann - Stanford Financial: I think my line got cut off there. So, if these questions have already been asked, my apologies. One is, you have mentioned coming North Carolina and seeing decrease in usage there due to conservation efforts, I’m guessing over the next several years, however, we may see that in other states. Are you seeing any one regulatory front, anything in place similar to the California revenue adjustment mechanism or some kind of similar proposition out there that could help buffer the impact of conservation efforts?
Nicholas DeBenedictis - Chairman, President and Chief Executive Officer: Yeah. First of all, North Carolina, I wouldn’t call it conservation as much as a post regulatory schemes, the cities are regulated, they are allowed to have free watering and people water in their lawns [ph]. It’s the regulated companies that are being told that, they… we have to put restrictions. So most of the decrease in usage in North Carolina which I’m going to say is in the 5% range has been because we are forcing watering advance and things of that source. So, I think it will return because the usage in North Carolina is an exceptionally heavy, and probably the percentage here is your difference. On the other hand, yes, New York is doing -- it already has something similar to California. And I’m sure all the states, if there is a precipitous drop, we’ll look at it. I’m not sure we’re going to see it everywhere though, I think in many cases, and I think some of the more mature states that we operate in and American operates in the… there is always going to be a pressure on usage as pricing goes up and also as conservation and environmental, I think it is. But, I don’t think its going to be as precipitous as this is where somebody is using 10,000 gallons a months versus 4,000 gallons a month.
Francesca McCann - Stanford Financial: Okay.
Nicholas DeBenedictis - Chairman, President and Chief Executive Officer: That answers your question?
Francesca McCann - Stanford Financial: Sure. I mean, that’s yes. And then, on your kind of pruning plan, you had mentioned one system that you’re kind of planning on cutting in Q3, I believe. Anything beyond that, kind of the outlook not just this year but perhaps in ‘09 and the next couple of years?
Nicholas DeBenedictis - Chairman, President and Chief Executive Officer: Yeah, we’re going to be doing one or two year. I think we have a half of dozen or so. You can’t just rush out and sell something because you don’t want to look, basically they are all okay, it’s just that they don’t fit in our plans and we think there maybe more valuable to your local government or another company. So, a number them we’ve been discussing but the one that we’re working on now is one that we had a willing buyer, we think we struck with very fair deal for both sides and it’s the regulatory commission now. It is another one that we are looking at, Illinois [ph] where there is a local municipal authority who has some interest in one our shore plants but the expansion capacity [ph]. So, I would argue maybe one, sometimes two a year for the next couple of years.
Francesca McCann - Stanford Financial: Okay, perfect. Thank you, that’s all.
Operator: We’ll go next to Jonathan [Reader] at Wachovia.
Jonathan Reader - Wachovia: Good morning, Nick. I apologize. I missed some of the calls if you already addressed this, I can just go through the transcript, but what do you think after we get through this kind of backlog of regulatory issues? Is it reasonable growth rate going forward? Are you guys still going to target your 10% annual EPS or is that kind of scale back or little on a going forward basis?
Nicholas DeBenedictis - Chairman, President and Chief Executive Officer: I hate to predict because if the economy doesn’t start growing, I have to admit that we’re going to have a hard time because you need some organic growth and I was explaining earlier back in ‘05, if you take out the operation of all the rapid run-up that we have with buying the 150, 250 systems in last three, four years, out of it just to a normalized 3% to 4% growth, you need some organic growth because that adds customers right way, no risk and it’s already on the system that works, you don’t have to put a lot of capital into it and so on. So, that would be one of the constraints which would make me not want to predict though we see the economy coming back a little bit with the new housing. But we’re back to normal on interest rates again and growth in our cost of borrowing. The cash generation is good which means that we won’t have to borrow as much both dividends and for on-going increases in capital. We have a lot more flexibility now because most of the capital spend going forward is not mandated, it is the right thing to do, its infrastructure replacement, capacity increases and so on, it’s not like we have a sent order from an environmental agency saying you have to build it like we had. Give you an example, in Texas when we extreme dark resources, we had a 121 items that were under consent decree. I mean you don’t have a choice, whether you have the money or not, you have to fix them.
David P. Smeltzer - Chief Financial Officer: They are all fixed and that’s the kind of pressure we are under when we inherited that asset. Well, it’s not like we didn’t know about it. We knew about it, we knew about it, we knew we had to take it on. But we knew it was all recoverable just that we’d like to have recovered it sooner rather than later. So, we may be hedge a little bit, I would love to say that we can hit that 4% year-in, year-out in profitable growth and that’s what’s triggers the west. And Heike’s question earlier about when we are going to get back to the efficiency ratio? That’s something we should concentrate on. But that’s how you accelerate your revenue growth into EPS growth and then of course the interest rate is down and depreciation is somewhat reasonably levelized, it helps too.
Jonathan Reader - Wachovia: Right. And going into the O&M side, in the southern properties, you were talking about it you know kind of leveling. Now, how fast once you start getting the rates in, could we see the efficiency ratio in the southern properties start dropping. I know there is the continuity issue, which kind of puts an inherently higher operating structure in place there. But I mean, given the, I guess the critical mass you have established at this point, I mean what would be, I guess the optimistic or maximum kind of efficiency ratio you could foresee in the south.
Nicholas DeBenedictis - Chairman, President and Chief Executive Officer: Well, I will get back to you with more exacting numbers Jonathan, because I want Chris Franklin to give me his next model. But realistically I think where the Pennsylvania type companies are always in the low to mid thirties. The smaller but concentrated mature franchises are probably in the high thirties to low forties, the majority of the companies are like that. Probably realistically the south in total will settle some were between 45 to 55 with the bigger states Ohio and Texas. In the North Carolina and Texas where we have lot more critical mass than let’s say Virginia where we only have 25,000 customers. In Florida, where we are growing but only have about 35,000 I guess or 40,000 feel a little tougher there. They are getting higher end range, but we’re nowhere near those ranges right now.
Jonathan Reader - Wachovia: Where are we right now?
Nicholas DeBenedictis - Chairman, President and Chief Executive Officer: Well Florida is probably zero. North Carolina was about 57% now, 55%. All of them have room now. The first jump will be when we get rates because that will add to the denominators. The numerator has grown not decreased because we had a few ones earlier that explained all the systems that we had to put in and basically you have to professionally company if you are going in for rates. And that’s not what we got, we got a nearly six or upper [ph]. But now, we have stabilized expenses, we are watching everything overtime. We have all trained certificated operators things of that sort. So I think our expenses are a lot more predictable as we go forward. We don’t have the pension problem like we have in the North where that could anyone a year ago go on AWAC depending on the stock market. I think that’s what a lot more predictable. So I will get your projections.
Jonathan Reader - Wachovia: Okay and then with the disc [ph] in Pennsylvania. Can you just give an update what’s going on as far as getting it increase from 5%? I think you are going to 7.5% like American Water did?
Nicholas DeBenedictis - Chairman, President and Chief Executive Officer: American Water requested and was approved to get to move from 5% to 7.5%. We anticipate, we’ll have to do the same. It won’t just be given to all the states, I am sorry, all the company’s. And you have to have a timing to do it. We are not done our first disc yet. We are in a middle of rate case. But I would anticipate some time in the near future we would be looking at that and I don’t have any reason to believe they would treat us any differently than they treated the American especially since we’re actually doing probably more pipework than anybody.
Jonathan Reader - Wachovia: And would it follow the resolution of the current rate case and how long I guess is the approval process
Nicholas DeBenedictis - Chairman, President and Chief Executive Officer: The approval process probably would be six months. But it will take us well in excess of that after this rate case to get even the 5%. Usually it takes us almost two years to get to the 5% level. So we have plenty of time after this rate case to decide to apply and if we do apply win approval of it. Obviously its not a slam dunk, you’ve to show that… what you’re going to use it for that doesn’t need and so on. But I think we shown from our record that we had a consistent study program that would really have made a difference infrastructure.
Jonathan Reader - Wachovia: Okay so you don’t apply in advance, you apply as you’re getting close to a breaking through the 5% threshold.
Nicholas DeBenedictis - Chairman, President and Chief Executive Officer: Any time but you have the luxury of continuing up to the five and if you get approved in this (inaudible) than you keep going.
Jonathan Reader - Wachovia: Okay and than last question just with the four main condemnation in the 69 I think you mentioned this before can you remind us what… I guess how the 69 compares to the book value of the rate base of the system.
Nicholas DeBenedictis - Chairman, President and Chief Executive Officer: Well it is in access of the rate base as good value but no where near we think is a fair value.
Jonathan Reader - Wachovia: Okay thank you.
Operator: And with no further questions in the queue, I would like to turn the conference back over to Mr. DeBenedictis
Nicholas DeBenedictis - Chairman, President and Chief Executive Officer: Well thank you very much for your time and if you have any further questions you’re free to call myself… there’s one more question.
Operator: Now we’ll go to Richard Alderman at Merrill Lynch.
Richard Alderman - Merrill Lynch: Hi, good morning. I was just wondering whether you could comment on the trends that you talked about with regard to revenues from industrial and commercial and domestic customers in Q1. How has it carried over so far as far as you can see into Q2? And if that’s the case, given what do you said about the delay on rate cases into the back end of this year, should we expect the consensus earnings to be coming down by a recently material amount, may be 6% to 10%, absolute number?
Nicholas DeBenedictis - Chairman, President and Chief Executive Officer: Well, we don’t give guidance but I’ll just give you a general answer, Richard. Yes, we’re not seeing, we only have April in. So I don’t want to predict the whole quarter but there is, April’s numbers were actually at least in our biggest subsidiary, were pretty much on budget. So, either people would have go on to lot more because of the planning season because it was dry in April and that massed the industrial. But I can’t give you an answer because I haven’t studied that but I might, and then I’ll call you back on it, I promise you that.. I only anticipated it went up because we didn’t really see the drop in economic activity until the third quarter last year. I would imagine quarter-to-quarter comparisons probably are going to be not positive on the industrial commercial side. I don’t want to put a number on it though whether it’s 2%, 1% or 5%. I can’t look at April’s numbers and… they were pretty good for our big subsidiary. Overall, so that could have messed the industrial. The second question you had was, earnings consensus. All I can comment on is that none of these rate cases which are really a story, I think our interest rate, our depreciation rate factors are back in line and they will stay consistent. We’re hopeful O&M that there is no surprise write-offs in these regulatory process that might be non cash write-offs which would affect earnings but not cash. And our borrowings are not going to be excessive in the second quarter that would in anyway raise our interest cost. So really it’s about revenues and I don’t see much in the way of a big acceleration of revenues year-over-year, resulting from the fact that Fort Wayne is out, that was in last year, out this year. The fact that housing has not turned around on the dime [ph] in April, so I would imagine that will stay consistent. And Q2 last year, housing wasn’t that bad, it dropped of the map, Q3, Q4. So it’s a lot of quarter-to-quarter comparison but I don’t want to… you to micro manage because this is a utility at longer term, but I think Q2 is going to be last years Q2 was okay in the sense of housing starts and send out, and if we can match that then we’ll fine but it’s not, but there is no big revenue stream coming in from rates. I know of no rates are any case coming on in Q2?
Richard Alderman - Merrill Lynch: No
Nicholas DeBenedictis - Chairman, President and Chief Executive Officer: Okay. So it’s been all the back end loaded.
Richard Alderman - Merrill Lynch: Okay, fine. Thank you very much
Nicholas DeBenedictis - Chairman, President and Chief Executive Officer: Okay.
Operator: Gentlemen, we have no further questions in the queue.
Nicholas DeBenedictis - Chairman, President and Chief Executive Officer: Hey, thank you everyone.
Kevin Brophy - Director, Investor Relations: Thank you
Operator: This does conclude today’s presentation. We thank everyone for their participation. You may disconnect your lines at any time.